Operator: Good morning. Thank you for joining us today to discuss the results for Consolidated Water's Third Quarter of 2024. Hosting the call today is the Chief Executive Officer of Consolidated Water Company, Rick McTaggart; and the Company's Chief Financial Officer, David Sasnett. Following their remarks, we'll open the call to your questions. [Operator Instructions] Before we conclude today's call, I'll provide some important cautions regarding the forward-looking statements made by management during the call. I'd like to remind everyone that today's call is being recorded and it will be made available for telecom replay for the instructions in yesterday's press release which is available in the Investor Relations section of the company's website. Now I'd like to turn the call over to Consolidated Water Company's, CEO Rick McTaggart. Sir, Please go ahead.
Frederick McTaggart : Thank you, David. Good morning, everybody. Thank you for joining us today to discuss our financial and operating results for our third quarter of 2024. As you saw in our press release issued yesterday, we reported revenue of $33.4 million and net income from continuing operations of $5 million or $0.31 per diluted share for this past quarter. These results were consistent with our expectations given the completion of two large design-build projects earlier this year. We were pleased to see the continuing trend of increasing retail water sales in our exclusive utility service area on Grand Cayman, which was due to business and population growth on the island. Our Bulk segment had relatively consistent revenue compared to last year. However, we saw an increase in gross margin due to the operations and maintenance contract for the new Red Gate II plant for the water authority in Grand Cayman, which became effective May 1st of this year. I'll just note because we guarantee the energy consumption of our plants to our clients in this type of contract, which gives the client certainty of costs, our margins are typically better early in the contract lifecycle when the equipment, particularly the RO membranes, are new. Looking at services revenues, they declined by about half due to our anticipated reduction in construction revenue related to the conclusion of our Liberty Utilities and Red Gate II construction projects. These projects had a major impact on 2023 revenue but were completed prior to the start of the third quarter of this year. The decline in construction revenue was partially offset by a $2.5 million increase in O&M revenue, recurring revenue. This increase included $2.1 million from our REC subsidiary in Colorado, which we acquired in October of last year. REC provides us with a new channel for expansion of our design-build, and O&M businesses into water stress regions of Colorado. The balance of the increased recurring revenue resulted from incremental O&M contracts with our PERC Water subsidiary. We continue to advance our development activities on the $147 million project to design, construct, operate, and maintain a seawater desalination plant for the Board of Water Supply in Honolulu, Hawaii. Since we announced the project in June of last year, we have been advancing through the piloting, design, and permitting stage. We plan to begin the construction phase late next year, which represents the largest portion of revenue we expect to generate from this project. We continue to gather essential operational data from the seawater desalination and post-treatment pilot systems that will inform the final design and permitting of the full-scale project. At present, we are close to completing the first phase of the pilot testing in our nearing 60% completion of the final design for the project. And all of the Hawaii project is comprised of a two-year development phase, followed by a two-year construction phase, and after construction and commissioning, we expect to operate the plan under a 20-year O&M agreement. And there are two additional five-year extensions to that O&M agreement that are exercisable at the client's option. So now before getting into recent developments and our outlook for the rest of the year. I'd like to turn the call over to our CFO, David Sasnett, who will take us through the financial details for the quarter. David.
David Sasnett : Thanks, Rick. Good morning everyone. Our revenue for the third quarter totaled $33.4 million. This was a 33% decrease from the same quarter of last year. And this decrease is almost entirely due to a $20.6 million decrease in construction revenue. As PERC Project for Liberty Utilities in Arizona and our Red Gate II construction project Grand Cayman were both completed before the start of the third quarter this year. Our retail revenue increased due to a 4.2% increase in the volume of water sold and this reflects a 4.8% increase in the number of customer connections in our license area over the last year. Revenue for the third quarter typically is very solid for us. I just want to point out to people who follow our company that fourth quarter revenues typically drop a little bit in the retail business because of seasonality. So we expect to do perhaps a little bit better than last year in our fourth quarter retail revenue, but keep in mind that fourth quarter is one of our weaker quarters retail-wise. The increase in Bulk segment revenue was due to the commencement of operating and maintenance contracts for the new Red Gate contract for the Water Authority of Cayman and an amendment of our North Sound contract with the Water Authority of Cayman. Both the new Red Gate contract and the North Sound contract amendment became effective on May the 1st this year. Revenue generated under our operations and maintenance contracts totaled $7.5 million in the third quarter which represents a 49% increase for the same quarter of 2023. REC contributed $2.1 million to the increase and the remainder related to incremental PERC contracts. Our manufacturing segment revenue decreased by $362,000 to $4.4 million in the third quarter, but despite this slight decline in revenue, our manufacturing gross profit grew by 84%, reaching $1.6 million, with this due to our focus on our part of higher margin products. Our consolidated gross profit for the quarter was $11.6 million or 34.8% of total revenue as compared to $16.6 million or 33% of total revenue for the third quarter of 2023. Net income from continuing operations attributable to our shareholders for the quarter was $5 million or $0.31 per diluted share. This compares to net income of $8.8 million or $0.55 per diluted share the third quarter of last year. We reported a net loss in discontinued operations of [$503,000] (ph) for the third quarter as compared to a loss of $233,000 for the third quarter of 2023. We anticipate completing the formal dissolution of our Mexico subsidiaries and thus eliminating these losses from our discontinued -- our overall operations by the end of Q1 of next year. Including discontinued operations, net income attributable to Consolidated Water shareholders for the quarter was $4.5 million or $0.28 per diluted share. This compares to net income of $8.6 million or $0.54 per diluted share for last year. Turning to our balance sheet at the end of the quarter, September 30th, 2024. We had $104.9 million in cash and cash equivalents. Our working capital was $133.9 million. Our debt was only approximately $200,000. And our stockholders' equity totaled $209.8 million. In all, we continue to maintain a very healthy level of liquidity and credit capacity and an extremely solid financial condition. Our projected liquidity requirements for the remainder of the year include capital expenditures for existing operations of approximately $3.8 million. This includes approximately $872,000 to be incurred for our new West Bay plant and approximately $3.1 million for a project in the Bahamas, the Cat Island project. We paid approximately $1.8 million in dividends in October and our liquidity requirements obviously may also include future quarterly dividends if such dividends are declared by our Board. So this completes our financial summary for the quarter. Now I'd like to turn things back over to Rick.
Frederick McTaggart : Thanks, David. Now for more operational details across our business segments. We've been pleased with the revenue growth in our retail segment, as David mentioned, which has resulted from increased business activity and additional service connections on our utility system in Grand Cayman. Fortunately, Grand Cayman did not see any significant or lasting damage from the hurricanes that impacted the island earlier this year. Although the total rainfall during the storms this past quarter was higher than the same quarter last year, the rainfall was concentrated over just a few days and ultimately it did not adversely impact our water sales on the island. Bulk revenue and gross profit margin increased because of the start of the new Red Gate II operating and maintenance contract which commenced in the second quarter of this year. This additional O&M contract revenue – offset revenue declines in our Bahamas business that resulted from lower energy costs which in turn reduced the energy cost pass-through charges to our customer. Also during the second quarter, we secured a 29-month extension of the North Sound plant operating and maintenance contract and Grand Cayman with only a minor reduction in fees to the client. As David mentioned, despite the small decline in manufacturing revenue this quarter, our gross profit in that segment grew by 84% to $1.6 million thanks to our relentless pursuit of higher-margin products, focused on maximizing production efficiency for that business. Based on the opportunities we see ahead, we believe that this improving trend in our manufacturing segment will continue and operating results of this business segment will remain stable and profitable. Services segment, we made solid progress with the steady growth in operations revenue bolstered by our newest subsidiary REC, REC has integrated well and is opened as expected important new opportunities in Colorado. Similar to our experience with PERC, we see that our greater management and financial capabilities will enable REC to pursue larger projects achieve accelerated growth. We're especially optimistic about the synergies between REC and PERC sales teams. REC has become a natural extension of PERC, enabling us to replicate the success PERC has achieved over the past five years in a new market. Colorado recent statutory changes to treated wastewater discharge requirements created several opportunities for us to support municipalities and need of upgrades. This regulatory change positions REC and PERC to capitalize on a number of smaller design build project opportunities in the state. In the Bahamas, we’re progressing as anticipated on the new $7 million 15-year agreement with Water and Sewerage Corporation to design and build, own, operate and finance do seawater desalination plants on Cat Island in Bahamas. Construction will -- or it is including installation of 250,000 gallons storage tanks along with supply and [disposal wells] (ph) and backup generators. Each facility will be designed to produce 90,000 imperial gallons of desalinated water daily and they are expected to provide potable and reliable water supply to more than 1,100 homes on the island. This is our first project with WSC and what they call the family islands in the Bahamas. So that's pretty much everywhere except Providence. In that area is the family Islands have historically been served by our competitors. So we're excited about this opportunity, and see it is a key step forward to expanding our Bahamas operations beyond Nassau. Looking forward, we remain excited about the future for many reasons. At the macro level, growing water scarcity continues to build interest in advanced treatment and desalination solutions for impaired water sources. The water supply challenges increase, there's a rising demand for the specialized capabilities that we provide. Specific positive factors include the strong water sales growth in Grand Cayman long-term recurring revenue from our Caribbean-based bulk water businesses and our US-based O&M business. Our manufacturing business continues its positive trend, and we expect our desalination plant project in Hawaii to significantly enhance revenue and earnings over the coming years, enabled by an exceptionally strong balance sheet, we will continue to invest in new long-term projects, and these include the new desalination plants in the Bahamas and Cat Island, as well as new infrastructure for the growing water needs of our utility customers in Grand Cayman. Both of these things will ultimately drive future bulk and retail revenue growth. Our strong balance sheet also enables us to move quickly on any potential opportunistic acquisitions. But we are currently in a period between large construction projects. We believe that our award-winning plant designs or cost efficient project delivery models and our unmatched industry experience will help us secure new projects we are pursuing. Of course, we started for the company several years ago, which involved diversifying our product offerings, and marked areas beyond seawater desalination in the Caribbean has continued to prove successful and laid the path for strong growth ahead. We complete 2024 and prepare for the new year, anticipate that all of these positive factors will continue to support our long-term growth and its future profitability for their strength in shareholder value. So with that, I'd like to open the call up for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] First question comes from Gerry Sweeney with Roth Capital. Please go ahead.
Gerard Sweeney: Good morning Rick and David, thanks for taking my call.
Frederick McTaggart: Hi, Gerard.
Gerard Sweeney: I had a couple of questions. I'm going to start with the Hawaii desal project. This is a little bit more about details. Obviously, I think you said there's a pilot, design and permit construction phase. Do you have an idea when the construction phase is at least planned to start? And could you remind us what -- how much of the tender is allocated to -- or cost is allocated to the construction phase?
Frederick McTaggart: Yes. So, we expect to -- I mean, the plan is to start it in the fourth quarter of next year. I think about -- the development phase is about $27 million, and the balance of the $147 million is the construction costs.
Gerard Sweeney: Okay. And is it --.
David Sasnett: And let me clarify something Gerry. So we are allowed to draw of $27 million in the design phase, but the amount of revenue that we recognize in the design phase will not be $27 million. It will be based upon the actual cost we incur. These projects typically are funded ahead of time so that we don't get into a cash flow challenge. And then after -- when we start construction, the actual construction price will be recalculated because the contract we signed it clauses in it that allow for increases in the price of construction based upon changes in materials and labor costs from the date that we signed a contract to the date the construction starts. So I hope that clarifies.
Gerard Sweeney: Inflation adjustments available. Okay. Got it.
David Sasnett: Yes. correct.
Gerard Sweeney: But roughly speaking, fourth quarter [‘25] (ph), we should start -- the construction phase is the chunkier part of the revenue side, and we should start seeing that hit in [indiscernible].
David Sasnett: That's correct. That's the majority -- that's about 80% of the revenue, I think it's somewhere in that range.
Gerard Sweeney: Yes. And two years construction time, would it be sort of equally allocated?
David Sasnett: Yes.
Frederick McTaggart: No, that's going to be sort of the curve. I mean --.
Gerard Sweeney: I got you. The ramp up that you [indiscernible].
Frederick McTaggart: The construction project incurred. And obviously, if we can do it faster, that works for everybody. But the maximum amount of time that we have is about two years to build the plant.
Gerard Sweeney: Got it. Switching gears to PERC, REC US, what does the project backlog look like? Obviously, a lot of talk about heavy civil water infrastructure in the United States long-term opportunity there. I'm just curious as to what you're seeing in the project RFP pipeline, et cetera.
Frederick McTaggart: I mean, without getting specific, I mean we are quite busy [bidding] (ph) jobs and pursuing job. I mean there's probably six or seven that come to mind in our current market area there in Arizona and California. We have lost some jobs over the last year, and you're probably aware of in the press, but I think the overall opportunity universe there is getting stronger. I mean there's just -- there's no -- our bid teams are quite busy, pretty much all the time putting together proposal. So when one of these meaningful ones hit, I mean, we have gotten a couple of smaller jobs that in the sub-$10 million range over the last six to eight months. But one of the big ones hits, we'll certainly everybody know.
Gerard Sweeney: Got it. But the key message here is that market is strong and has gotten stronger over the past year per se?
Frederick McTaggart: Yes. I mean in all honesty, I mean, it is attracting a lot of attention from competitors. So we're adapting to be more competitive and to sell the client and the types of project delivery models and things that we do best. And then work with us for the clients as well.
Gerard Sweeney: Got it. And then just one last question for me. The Cat Islands, the Family Islands. How big of an opportunity can that be? How many potential projects or maybe just a background?
Frederick McTaggart: Yes. I mean, they pull us informally in the Bahamas that there's probably another three islands that require immediate attention. And they're smaller projects. They're not Nassau sized islands with 350,000 people or whatever. I mean, it's -- Cat Island is 180,000 imperial gallon a day total capacity in our Nassau plants produce 14 million gallons a day or something. So -- but the size and the scale requires that we charge more for the water. And that's just the way it is. So these projects could generate $1 million a year in incremental revenues fairly easily over a 15-year period, 20-year period whenever the contract earns on, so.
Gerard Sweeney: Got it. But I mean you have Cat Island additive, I mean, Nassau is close to capacity and demand, there may be some opportunity there. Is that fair as well?
Frederick McTaggart: Yes. We are hoping that at some point they ask us to increase our capacity there. I mean it is -- last year, we were running in the high 90% online range there which obviously is quite amazing for this type of equipment. We'd really like them to expand that plant there to give us a little bit more breathing room and to give them breathing room. We are well above the guaranteed amounts that we're providing from those clients.
Gerard Sweeney: Got it. So Cat Island, Nassau and then obviously, the Caymans are continue to grow. So you have a nice little growth trajectory on their core desal business or historical or legacy desal business.
Frederick McTaggart: Yes.
Gerard Sweeney: Okay. All right. That’s it from me. I appreciate it. Thanks.
Operator: [Operator Instructions] At this time, we are showing no further questions. This concludes our question-and-answer session. I'd now like to turn the call back over to Mr. McTaggart. Sir, please go ahead.
Frederick McTaggart: Yeah. Thank you. I just like to say thank you to everybody for joining today and wish everybody happy holidays. And our next earnings call will be in March of next year when we discuss our full year 2024 results. So thank you and take care.
Operator: Thank you. Before we conclude today's call, I would like to provide the company's Safe Harbor statement that includes cautions regarding forward-looking statements made during today's call. The information that we have provided in this conference call includes forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 including, but not limited to statements regarding the company's future revenues, future plans, objectives, expectations and events, assumptions and estimates. Forward-looking statements can be identified by the use of words or phrases usually containing the words believe, estimate, project, intend, expect, should, will or similar expressions. Statements that are not historical facts are based on the company's current expectations, beliefs, assumptions, estimates, forecasts and projections for its business and the industry and markets related to its business. Any forward-looking statement made during this conference call are not guarantees of future performance and involve certain risks, uncertainties and assumptions which are difficult to predict. Actual outcomes and results may differ materially from what is expressed in such forward-looking statements. Factors that would cause or contribute to such differences include, but are not limited to tourism and weather conditions in the area we serve, the economic, political and social conditions of each country in which we conduct or plan to conduct business, our relationships with the government entities and other customers we serve regulatory matters, including resolution of the negotiations for the renewal of our retail license on Grand Cayman, our ability to successfully enter new markets, and various other risks as detailed in the company's periodic report filings with the Securities and Exchange Commission SEC. For other information about risks and uncertainties associated with the company's business, please refer to the management's discussion and analysis of financial conditions or results of operations and risk factors section of the company's SEC filings including, but not limited to, its Annual Report on the Form 10-K and Quarterly Reports for Form 10-Q. Any forward-looking statements made during this conference call speaks as of today's date. The company expressly disclaims any obligation or undertaking to update or revise any forward-looking statements made during the conference call to reflect any change in its expectations with regard thereto or any changes in its events, conditions or circumstances of which any forward-looking statement is based, except as required by law. I would like to remind everyone that this call will be made available for replay starting later this evening. Please refer to yesterday's earnings release for dial-in replay instructions available via the company's website at www.cwco.com. Thank you for attending today's presentation. This concludes the conference call. You may now disconnect.